Christina Glenn: Hello, everyone, and good morning. Welcome to this presentation of Aker's First Quarter Results for 2021. We will start today's presentation with Aker's President and CEO, Øyvind Eriksen, who will walk you through the highlights in the quarter and how the Industrial Holdings portfolio developed in the period. Our CFO, Svein Oskar Stoknes will then cover the financial investments portfolio and the first quarter accounts in more detail. After the presentation, we will have a Q&A session. You can submit your questions via the chat function on the webcast. And with that, I hand it over to Øyvind Eriksen.
Øyvind Eriksen: Thank you, Christina, and good morning, everyone. It's been another eventful quarter, one in which we have hit several milestones across our portfolio. Aker BP recorded record high revenues; Aker Solutions, record high tender activity; and Aker Horizons grew its revenues and renewable portfolio significantly. For Aker, the quarter ended with net asset value up nearly NOK9 billion to NOK62.2 billion. That's a 17% increase from the previous quarter, especially driven by growth in Aker BP and Aker Horizons, two companies targeting different parts of the energy markets; one in oil and gas and one in renewables and low carbon solutions. The companies are not at odds, but have a shared ambition of contributing to more sustainable energy production; Aker BP through producing oil as efficiently and with slower emissions as possible, and Aker Horizons by contributing at large scale to cut CO2 emissions through a strong growth portfolio along multiple of renewable energy segments. High activity in these two companies is also good news for the rest of the portfolio as exemplified by the increase in tender activity in Aker Solutions and the momentum in our industrial software companies, Cognite and Aize. But before we get into the development in the portfolio, let's take a closer look at how the net asset value developed this quarter. In the quarter, Aker's net asset value increased by nearly NOK9 billion to NOK62.2 billion or NOK838 per share. As already mentioned, the growth came primarily from value increases in Aker Horizons, which contributed NOK5.9 billion to our net asset value, and Aker BP, which contributed NOK4.2 billion. The growth is both a result of global energy demand continuing to rise and increase in oil prices as well as the accelerated shift to new energy segments like hydrogen, offshore wind and solar. Aker is well positioned to leverage both these trends, and Aker BP and Aker Horizons are important to our continued growth and position in both energy production and the ongoing energy transition. The Aker share increased 17% in the first quarter to NOK654.5. This compares to a 9% increase in the Oslo Stock Exchange Benchmark Index. Aker's value-adjusted equity ratio at the end of the period was 84% and 89% of our gross values were in our Industrial Holdings portfolio. Our liquidity reserves stood at NOK2.9 billion and cash amounted to NOK873 million. Aker's portfolio has never been more liquid and is comprised of almost 90% listed assets and cash. Aker Horizons, which was established last summer, is already now Aker's second largest asset. Renewables and clean technologies continue to make up a larger portion in our value distribution and is now nearly a quarter of Aker's gross asset value. Aker BP remains the largest asset in our portfolio at NOK35 billion and continues to be an important value and liquid investment in our portfolio, providing valuable upstream cash as we stake out our path in the energy transition. Our software and digital technology-related portfolio is growing with the addition of Aize and our initial investment in bitcoin and establishment of Seetee. We see many interesting opportunities in the Bitcoin and blockchain ecosystem and related technologies, and the dedicated team in Seetee can now work to identify relevant opportunities in this space going forward. Industrial software, however, remains of a core focus and we see strong momentum in this part of our portfolio. Aker is currently positioned with growth platforms in multiple global trajectories. While oil and gas-related industries still make up the majority of our Industrial Holdings, we are allocating more and more resources to industrial software, renewables and clean technologies. For Aker BP, the overall picture is that the company continues to develop according to plan. This includes efficient operations that result in reduced costs, increased production, reduced emissions and better safety. The company is also working actively to deploy digital tools throughout its business, and it is sharing data with the rest of the industry to drive positive change. In the first quarter, the company saw record high revenues and operating profits and is well positioned to deliver on its plan for profitable growth. One of the more important projects on deck for Aker BP is the development of the NOAKA area, which is progressing well and ahead of schedule. Aker BP and Equinor, the joint operators of the project, have started preparations to submit plans for development and operations, PDOs in 2022. The total recoverable resources of the projects are estimated at more than 500 million barrels of oil equivalents and will nearly double Aker BP's production over the next five years. NOAKA is also important for Aker as a whole. It's expected to give Aker Solutions significant work and will facilitate important software collaboration between the operators, Aker Solutions, Cognite and Aize. For Aker, NOAKA is an opportunity to demonstrate the importance of industrial alliances as well as Aker's own alliance model, leveraging proven capabilities to digitalize, keep cost down, emissions low and ensure operational excellence and efficiency. Moreover, the field will have, as I said, low emissions through power from shore and the partners will make extensive use of digital solutions both for the development and operational phases. Moving on to Aker BioMarine. The company has been negatively impacted by quarterly seasonality and swings, but the company is developing positively in the global megatrend in marine biotech and human health. The company is in a good long-term growth path, driven especially by the position in the U.S. consumer market, including through Kori, which was brought to the U.S. market in 2020. It's also encouraging to see the future potential of LYSOVETA and interesting projects within the human protein division. Now, on to Aker Horizons. The company has had a very busy quarter, both in Aker Horizons and in the portfolio companies. Several milestones were reached, including the agreement to acquire a 75% of Mainstream Renewable Power, a pioneer in renewable energy development with a portfolio of projects within solar and wind. During the quarter, the company also launched and listed Aker Clean Hydrogen, which works to industrialize clean hydrogen production. The company will develop, build, own and operate hydrogen facilities and already has a sizable project portfolio. This includes the important partnership with Yara and Statkraft to electrify Yara's green hydrogen and ammonia plant at Heroya here in Norway. The integrated team has already mobilized and the process with formalizing the joint venture company is underway. Aker, Yara and Statkraft are working closely to coordinate the dialog with authorities as public funding initiatives are emerging and industry alliances are forming to promote Norway's strategy to build low carbon energy hubs, including hydrogen hubs with strong local offtake opportunities. For Aker Horizons, these and other projects are important to reach the company's ambitions to achieve more than 1 gigawatts in renewable power capacity and contribute to avoidance or a reduction of 25 megaton CO2. From an ownership perspective, we are excited about the long-term potential of Aker Horizons. Our focus is to ensure strong organizations and management teams that can execute the ambitious plans. In parallel, we are working closely with the company to sustain both organic and inorganic growth. We believe it's important to ensure that the growth opportunities are combined with cash generating operations that can help finance activities. And this includes moving to close the agreement with Mainstream, which can contribute to an established activities in wind and solar globally, and hence, provides operations with the revenues, I mentioned initially. There has been some increased volatility in financial markets towards the end of the quarter and into the second quarter. But the company has proven build access to liquidity through capital markets exercises. In parallel, we are working on setting up Aker Horizons long-term capital structure. Now, moving on to our main unlisted assets, including the industrial software portfolio. Starting with Cognite. Cognite grew its revenues in the quarter supported by continued fast growing customer base. The company secured the range on new commercial agreements in the period with some of the world's leading industrial companies, including a new long-term contract with Norwegian national grid operator, Statnett. It's also seeing continued momentum with international customers, and the offices in Tokyo and Texas both secured additional customer agreements with large industrial companies. These international milestones enable Cognite to continue scaling and establishing itself as a leading software provider for digitalization of capital-intensive industries. We continue to be very excited about the strong interest in Cognite and the potential the company has on the global scale. Our main focus currently is to continue working with Accel to execute the company's global expansion plans. There is no shortage of interest from top-tier investors wanting to take part in the Cognite growth journey. As we were with Accel, we will continue to be highly selective in finding partners that fit the needs of the Company. This includes contributing more valuable software industry knowledge, a global network and experience in scaling these kinds of companies. Our other software company, Aize, specializes on application development for asset-intensive industries using Cognite's CDF technology. Aize software applications operate on top of CDF to integrate and manage the information related to field development and enable seamless exchange of data through the value chain and life cycle of fields. Aize now counts 120 employees and has hit the ground running with a strong customer base. The company is actively working on the NOAKA development alongside Cognite, Aker Solutions and Aker BP, and we believe this can be a landmark project for the use of industrial software for the rest of the industry. Lastly, Aker Energy. The team has done a great job in modifying the concepts and strategy has shifted from a centralized FPSO approach to a phased plan to develop the resources in the area. Under the revised strategy, most of the production is maintained. But the breakeven oil price is significantly reduced to around $30 per barrel. And the cost level is about half from the original plan. The natural next step is to move towards at PDO. But we are in parallel reviewing strategic options for the Company. That concludes my portion of the presentation this morning. I now hand it over to Svein Oskar, who will take you through the financials for the quarter.
Svein Oskar Stoknes: Thank you. Thank you, Øyvind, and good morning. So I will start out spending a few minutes on Aker's financial investments before I go through the first quarter results in some more detail. The financial portfolio accounted for 11% of Aker's total assets or NOK7.9 billion, which is up NOK0.8 billion from the previous quarter. This was mainly due to increased receivables towards Aker Horizons. As before, the main components under financial investments are cash, listed financial investments, real estate investments and interest-bearing receivables, all of which I will now go through in some more detail. And starting with cash. Our cash holdings represented 1% of Aker's gross asset value, or NOK0.9 billion. This is down NOK0.4 billion from the previous quarter. The main cash inflows were a NOK1 billion drawdown on one of our revolving credit facilities, as well as the NOK500 million tap issue related to the AKER15 bond. In addition, Aker received dividends from Aker BP, Ocean Yield, Norron [ph] and American Shipping Company of the equivalent to NOK480 million. The main cash outflows in the quarter were share investments of NOK1 billion, mainly represented by the NOK500 million participation in the Aker Horizons equity issue and the NOK500 million investment into new Bitcoin and blockchain technology company, Seetee. In addition, Aker subscribed for NOK1.2 billion in Aker Horizons convertible bond issue. Payments for operating expenses and net interest were NOK163 million in the quarter. And our liquidity reserve was NOK2.9 billion, including undrawn credit facilities of NOK2 billion. Moving to listed investments included in our financial portfolio, represented about 1% of Aker's total assets at the end of the quarter or NOK1 billion. In the quarter, the investment in REC Silicon was transferred to Aker Horizons at fair value and this explains the reduction in the total value from the previous quarter. The value of Philly Shipyard increased by NOK100 million in the quarter and the company announced the contract award for the construction of two additional National Security Multi-Mission Vessels. The construction of the two vessels awarded one year ago is progressing in accordance with plan and the contract includes an option for one vessel in addition to the four already awarded. The equity investment in American Shipping Company had the value increase of NOK28 million in the quarter and the total return swap agreements related to the same company increased in value with NOK52 million. In addition, Aker posted a dividend income from American Shipping Company of NOK26 million in total. Next, real estate and other financial investments, and combined, the two represented 8% of Aker's gross asset value or NOK6 billion in total. The value increase is mainly explained by increased loan issued to Aker Horizons as part of the transfer of the REC Silicon investment to the company and the NOK1.2 billion subscription in Aker Horizons convertible bond issue. In addition, Aker invested NOK500 million in the Bitcoin and blockchain technology company, Seetee. Then, let's move to the first quarter financial highlights for Aker ASA and holding companies. Let me start with the balance sheet. Please note that the figures on this slide are after a dividend allocation of NOK11.75 per share. The book value of our investments increased by NOK7.4 billion in the quarter. This is explained mainly by the reorganization of the ownership in Aker Horizons in January, which resulted in an increased book value, in line with fair values at the time. In addition, Aker participated with NOK500 million in Aker Horizons equity issue and invested NOK500 million in Seetee. The total book value of our assets was NOK37.8 billion and in our accounts, we used the lowest of historic cost and market values. The fair value adjustment showed in gray color on this slide, increased by NOK1.2 billion in the quarter to NOK36.4 billion. This is mainly explained by value increases of the investments in Aker BP, Ocean Yield and Philly Shipyard, partly offset by value reduction of Aker BioMarine. The fair value adjustment was also reduced due to the reorganization of ownership in Aker Horizons that I just mentioned as this reallocation values from fair value adjustment to book values. The gross asset value stood at NOK74.2 billion at the end of the quarter, up from NOK63.9 billion at the end of the fourth quarter. Aker's liabilities, mainly consisted of bond debt of NOK5 billion, a US dollar-denominated bank loan of NOK3.8 billion and Norwegian kroner-denominated bank loan of NOK2 billion and a NOK1 billion euro-denominated loan. The liabilities at quarter end also included an NOK873 million dividend allocation for 2020, representing NOK11.75 per share. This dividend was approved by the AGM last week and the AGM also provided the Board of Directors with the authority to pay a potential additional cash dividend during 2021 based on the 2020 annual accounts. And this is in line with the practice established last year. The book equity was NOK25 billion, up NOK7.7 billion explained by the profit before tax in the quarter. If we adjust for fair value of our listed assets and Cognite, we get our net asset value of NOK61.4 billion at the end of the first quarter, up NOK8.9 billion from the fourth quarter after allocation of dividend. The net asset value per share was NOK826 after dividend and the value adjusted equity ratio increased to 83%. Our total interest-bearing debt was NOK11.8 billion, which is up NOK1.4 billion from the previous quarter due to the NOK500 million AKER15 tap issue and the NOK1 billion drawdown on one of the revolving credit facilities. The increase was partly offset by foreign exchange effects. The average debt maturity at the end of the quarter was 2.5 years and we still have significant headroom with regards to our debt covenants. Then, finally to the income statement. The operating expenses for the first quarter were NOK75 million. The net value change in the quarter was positive NOK7.2 billion. Our net other financial items were positive NOK535 million, mainly explained by dividend income of NOK485 million and foreign exchange adjustments. And the profit before tax was then NOK7.7 billion in the quarter. Thank you. That was the end of today's presentation. And we will now move on to Q&A.
A - Christina Glenn: All right. Thank you, Svein Oskar. We have one question from Haakon Amundsen. Mr. Eriksen stated that Aker's evaluating strategic options for Aker Energy. Could you put some color on what this may involve, please?
Øyvind Eriksen: Funding of the project is a natural part of the preparation is ongoing. And we're exploring different alternative structures and alternatives, including a possible partly farm down. So, we are open-minded to alternatives, but the overall target is to also have robust and efficient funding of this important and value-accretive development.
Christina Glenn: All right. That is the only question that has come in. So I thank you for following today's presentation. It will be made available or is available on our website, and thank you.